Operator: [Operator Instructions] As a reminder, this conference is being recorded for playback and will be available by 12:00 p.m. Eastern time today. [Operator Instructions] I would now like to turn the conference over to Bill Seymour, Vice President of Investor Relations. Please go ahead, sir.
Bill Seymour: Thank you, Alicia. Good morning, everyone. Thank you for joining us on our fiscal first quarter 2012 conference call. We have 2 speakers today: Brian Dunn, our CEO; and Jim Muehlbauer, our CFO. And after our prepared remarks, we should have plenty of time to answer your questions. Before I pass the call over to Brian, I'd like to take care of a few housekeeping items. First, we would like to request that callers limit themselves to a single question so that we can include more people in our Q&A session. Also, as usual, the media are participating in this call in a listen-only mode. I'd like to highlight several enhancements we've made to our earnings material this quarter. First, we have included slides this quarter that complement the results. You'll find these slides on our IR site. We've also included a quarterly cash flow statement, and we've included -- started reporting total domestic connections quarterly. And we started reporting Best Buy Mobile comps. You will also see that we renamed the category home office to computing and mobile phones to better reflect what's in the category. Nothing in the category itself has changed. Let me remind you that comments made by me or by others representing Best Buy may contain forward-looking statements, which are subject to risks and uncertainties. Our SEC filings contain additional information about factors that could cause actual results to differ from management's expectations. You will also note that our reported results this morning included information regarding the impact of the restructuring activities we announced on February 22. I ask that you please refer to our earnings release to understand how our announced restructuring affected our first quarter results within our Domestic and International segments and across the company as a whole. The adjusted numbers we will be discussing today, do not include these charges and should not be confused with GAAP numbers we reported this morning in our earnings release and the GAAP numbers we'll report in our 10-Q. With those housekeeping items aside, I would like to turn the call over to Brian Dunn.
Brian Dunn: Good morning, everyone, and thanks for joining us on our first quarter earnings conference call. My comments this morning will focus on our first quarter performance and an update on our strategic priorities and opportunities. It's early but I feel good about our start to this fiscal year. We delivered improved sales trends and continued to generate significant cash flow which illustrates the financial health and strength of our company. Our multichannel strategy clearly differentiates us from competitors and gives us unique opportunities to grow. We are optimizing our skill for growth in the key areas we previously discussed, new products and services like tablets and connections, categories where we have a competitive advantage and significant upside such as appliances and gaming and formats in new locations like Five Star in China and Best Buy Mobile standalone stores throughout the U.S. But before I jump over to the highlights of the quarter, I would like to thank our employees worldwide, those who helped create compelling offers and value propositions, as well as the men and women who work so diligently to bring the Connected World to life for our customers. Thank you for everything you do to make Best Buy a great place to shop and work. Now, let's take a look at some of the key items from the quarter. Our sales performance was better than planned. I'll provide more color on this in a minute. Our Domestic Online sales continue to grow at double-digit rates. As you know, we're committed to accelerating growth in our Internet business, and our progress here shows that our focus on this channel and our overall multichannel strategy is progressing. Total domestic connections grew 20% in the quarter. This growth shows the momentum of our Connected World vision, both in Best Buy Mobile and the increasingly rapid growth of connections in our TV and Computing businesses. And we continue to take actions to improve returns to shareholders. During the first quarter, we bought back $0.5 billion worth of stock, representing 4% of our outstanding shares. Summarizing Q1, the quarter unfolded largely as we anticipated. We had been very deliberate in creating new offers that leverage our unique capabilities and leading position in the marketplace, and consumers are responding. Let me review some drivers of our domestic performance in Q1. In Mobile Computing, we had improved performance overall, even against strong comparisons from last year. The biggest catalyst of our positive performance was the rapid growth in tablets as we successfully kicked off the launch of the iPad 2. Notebooks also improved versus the steeper declines we experienced in the second half of last year. Best Buy Mobile continued its excellent performance, delivering comps of 28% with strong margins. We were a lead retailer for the launch of the Verizon iPhone, and as we positioned in our marketing, we are the home of 4G, with phones like the HT (sic) [HTC] Inspire and the Samsung Epic leading the way. Allow me to share a brief example of the kinds of unique compelling offers that our customers have responded to. In the last week of the quarter, we ran a promotion of a free smartphone combined with Lady Gaga's latest CD. The promotion was such a success that it was one of mobile's best weeks of the year, and we believe we captured #1 market share in sales of the physical CD as well. The results were great, but the real story here is the value of our cross category promotions that drive incremental revenue and traffic. Gaming sales trends also improved, as we partnered with Nintendo on a very successful multichannel launch of the new 3DS portable gaming system during the quarter. Our sales performance is a positive sign because we're just ramping up many of the changes were making to our gaming business. I'll talk more about that in a bit. We also activated targeted promotional programs across additional product categories online and in-store during the quarter. These were promotions with specific customer-focused value propositions, designed to drive incremental sales. While this promotional activity factored into the quarter's gross margin rate decline, which Jim will cover in more detail later, we are pleased with the incremental sales volumes we've produced. Our ability to create compelling offers that cause customers to respond shows that our operating model has elasticity and that we are truly selling products and services at values consumers can't pass up. Looking at the financial performance in total, our goal is to deliver bottom line results, and operating income and EPS were consistent with our expectations for the quarter. Looking next at our International business. Revenue and operating profit grew significantly. These improved results are emerging even before we fully realized the benefits from our increased focus on the International business, including the recent restructuring and strategic investments in assets like Five Star, which was up to 170 stores at the close of the quarter. Five Star is off to a good start to the year. Comp sales were up 9% on top of over 30% comps last year. In addition, Five Star's growth [Audio Gap] to enhance our competitiveness in returns, as we leverage the advantages inherent in our portfolio of physical and digital assets, multiple ways to shop, buy and interact with us online, a variety of the store formats and sizes, call centers staff with knowledgeable Blue Shirts and agents, as well as a wide range of in-store remote and in-home services. I'd like to provide some color and updates around these priorities. Let's start with Online. We are determined to double our U.S. Online business in the next 3 to 5 years, and as I mentioned, our Online revenue grew double digits in Q1. Our business in this channel strengthened throughout the quarter, as we started to the ramp up many new activities to drive traffic, including the significant expansion of our online assortment. This is a key component to improving our competitive position online, and we've made good progress to date, adding over 10,000 SKUs online since Q1 of last year. Another important part of our multichannel strategy is leveraging our complimentary physical channels with the Internet to provide even greater points of presence. A couple of good examples: Best Buy Mobile standalone stores now sell tablets as well and also take in preowned video game titles. This is important because our mobile stores have a differentiated traffic and attracts a unique customer base. 25% of shoppers in our Mobile stores are first-time Best Buy customers, and these locations also have a higher proportion of female shoppers than our "big-box" stores. Next, let's take a look at a few strategic areas where we intend to leverage our scale to grow: tablets, mobile phone, appliances and gaming. First, tablets. As we've said, we're making a big push in tablets this year and expect to have the strongest assortment in the marketplace. We started rolling out Tablet Central in May. In the beginning of July, we expect it will be in all of our "big-box" stores. Tablet Central will be a zone within our Computing department with a value proposition modeled up for Best Buy Mobile. It will be a one-stop shop showcasing the features, connections and accessory opportunities for tablets. We believe that this will play directly to our strengths of demonstrating new technology and helping customers navigate their way to the important choices. The tablets base is heating up now, and our vendor partners are aggressively advertising to build awareness. So we expect to see the number of tablets ramp up quickly in this quarter. We're excited about the variety of models we’ll offer, complete with a wide range of features and price points that will drive consumer interest, as well as our business. Next, mobile phones. As I mentioned, mobile comps were up 28% for the quarter, and our data shows that we significantly increased our smartphone share in the quarter. We also opened about 20 standalone stores in Q1, taking the total to almost 200. You may recall that we began increasing the mobile footprint in our "big-box" stores last year. And now we have the expanded space allocation in 600 stores. We believe we have a very differentiated model in this category, and mobile upgrade checks are a great example of that. We did almost 4 million upgrade checks for customers last quarter, compared to 9 million for all of last year. Over 1/3 of these customers optioned the program and want us to contact them when they're due for an upgrade. This provides us a great opportunity to engage new customers on a requested basis. Appliances and gaming. These are areas where we believe we can bring more to customers than our competition, and we're on track to reach the goals we've set for these businesses. In the appliance category, we focused on timing promotions to match the seasonality of the appliance market consumer demand. This, combined with the continued rollout of operating model improvements, resulted in a solid financial performance in a down market this quarter. Finally, gaming. We're making a lot of important changes to our Gaming business, and specifically, how we approach the full life cycle of the gaming customer. We've made progress, and as I said before, our new model is not yet fully rolled out. For example, we've launched a new dedicated desk in the gaming department, with an adjacent pre-order touchscreen to help customers get the games they want. Our results have shown that when we have the preowned trade-in desk within the gaming department, those trade-ins and preowned sales improved by a 2:1 ratio. One important advantage we have allows customers to trade in used games and receive a Best Buy Gift Card that can be used on anything online and in the store, not just in other games. Right now, we're seeing about half of the value of these gift cards being spent outside the gaming department, which tells us that our value proposition truly is adding value and differentiating. Trade-ins and preowned sales are still relatively new, but we're making good progress. E3 was last week, and we made several important gaming-related announcements at the event. Let me highlight one that is another example of our multichannel advantage. In order to drive our Gaming business, we're giving over 2 million Reward Zone Gamer's Club members $100 in Reward Zone points to spend on anything on the store or online when they preorder and pick up 5 games. Wrapping things up, we've mentioned the various ways we can leverage our physical and digital assets to strengthen competitive advantage. Our multichannel strategy, which includes "big-box" stores, small footprint stores, our e-commerce channel, mobile Web and apps, digital content delivery, compelling Reward Zone benefits, call center staff with Blue Shirts and agents, in-home remote and in-store services allows us to uniquely serve customers within and across a variety of channels. It's much, much more than simply stores and a website. I'd like to once again thank our employees for the results they've delivered this quarter. We're making steady progress with the priorities we talked about during our Analyst Day. We are financially strong, and we manage a highly cash-generative business. We continue to be disciplined in our capital allocation on a core set of growth initiatives, as well as returning cash to our shareholders. With that, I'll hand the call over to Jim.
James Muehlbauer: Thanks, Brian. Today, I'd like to cover some of the financial highlights of our first quarter results, discuss our outlook for the year and provide you some additional color on how we're progressing on several of the key value drivers in our business. Before we get started, I want to call your attention to a couple of specific new additions that Bill noted up front to our quarterly reporting that we know you will find helpful. First, to better highlight the growth trends and momentum tied to our profitable Connected World initiatives, we're adding both domestic mobile phone comp sales and total connections growth information to our regular quarterly reporting rhythm. Second, we have accelerated the disclosure of our condensed cash flow statement information to the quarterly press release. With those public service announcements out of the way, let's turn to some of the key highlights and insights from Q1. Total first quarter revenue grew by a little over 1%, driven primarily by net new store growth and the favorable impact of foreign currency. These gains were partially offset by a comparable store sales decline of 1.7%. In the Domestic segment, sales declined 1% and comparable store sales were down 2.4%. As we discussed at the beginning of the year, we planned for the domestic comps to be down in Q1. The performance in Q1 was actually better than we had expected, and also represented a significant sequential improvement over the fourth quarter comp sales trends that were down 5.5%. The improvement in this trend was driven primarily by mobile computing and gaming. Mobile computing comp was up mid-single digits, driven by strong tablet sales growth as we continue to make a big push in tablets with the rollout of Tablet Central and also by improved trends in notebooks. Gaming trends also improved significantly from Q4, with comps only down slightly. As Brian already highlighted, we continue to see strong growth in domestic mobile phones, where comps were up 28%, as we experienced the benefits from both our differentiated model and Best Buy Mobile and strong customer interest in smartphones. Next, high consumer interest in eReaders, coupled with our broad assortment in this space drove triple digit comp growth. I mentioned this because while this category is still relatively small in overall dollar terms, its growth was strong enough this quarter to meaningfully benefit our overall domestic comp. It also serves as a reminder of the excitement customers are demonstrating in mobile technologies and showcases our ability to bring this experience together for them, both online and in-store to drive growth. Our clients comps were up almost 3%, due to successful promotional activities and actions taken during focused customer drive times in Q1. This result is encouraging given the difficult housing environment in the industry and based on the fact that we were lapping last year's significant low double-digit comp gains, driven by rebate incentives. TV comps were down high-single digits, which was similar to what we experienced in the fourth quarter. Given the current macro environment, we continue to plan for a modest near-term outlook in this category, and note that our Q1 performance in TVs was consistent with our plans. During the quarter, it also became evident that digital camera sales in the industry would be negatively impacted by components of shortages, driven by the events in Japan. Looking forward, we currently expect product availability will improve, as we progress further in the year. Sales in our International segment increased approximately 8%, driven primarily by the favorable impact of foreign currency, net new store growth and a 0.4% comparable store sales gain. This gain was primarily the result of high single-digit comparable store sales gains in our Five Star business, which was on top of an almost 35% comp last year. Canada and Best Buy Europe experienced low single-digit comp declines. Turning to gross profit. First quarter gross profit dollars of $2.8 billion were down approximately 1%. As I have discussed previously, driving gross profit dollar growth is a key priority for this organization, which we continue to plan on delivering for the year. Looking closer at the Domestic segment gross profit rates, you will recall that the comparisons to last year will be difficult in fiscal 2012, given our very strong domestic rate performance of up 90 basis points last year, including up 60 basis points in the first quarter of last year. This is not new information. It just provides you important context for our comparisons throughout the year. The Q1 domestic gross profit rate declined 60 basis points year-over-year and was driven primarily by rate declines, partially offset by a favorable mix impact from the continued growth in Best Buy Mobile. Four key items contributed to the lower rates in the quarter. First, we took offensive actions and targeted promotional activity designed to drive revenue improvements in key categories like computing, appliances and gaming. Second, product availability issues in higher-margin digital cameras impacted our sales and margins as the industry was adversely affected by the events in Japan that I spoke about earlier. Third, we experienced higher transportation costs driven in part by higher fuel costs. And finally, the Q1 margins were also impacted as we anniversaried the large annual vendor rebate that we received in the first fiscal quarter of 2011 that we discussed with you last year. So when you put all these pieces together and you normalize for the items that were more onetime in nature, we estimate that the domestic gross margin rate would have been down closer to 30 to 35 basis point for the quarter. Within the International segment, we had strong 6% increase in gross profit dollars driven by growth in sales, gross profit rate growth within Five Star and improved margin performance in Canada. Overall, the International gross margin rate of 25.9%, a decrease of 40 basis points year-over-year, was driven largely by the mix impact of higher B2B sales in Europe, which provide incremental gross margin dollars but at a lower rate. Turning to SG&A. First quarter expenses were essentially flat year-over-year at $2.5 billion, and we leveraged 30 basis points on a rate basis. Consistent with our previous plans, we expect that Q1 will represent the lowest level of SG&A dollar spending growth for the year. As you will recall, we had our highest spending growth levels in Q1 last year. This combined with the timing of our investments to support growth in areas like Best Buy Mobile standalone stores, Tablet Central and the rollout of used gaming this year and the addition of the 53rd week, together, are expected to result in higher year-over-year spending growth in Qs 2 through Q4 over the flat growth we experienced in the first quarter. To be clear, our expectation for annual SG&A dollar growth of approximately 4%, excluding the impact of FX, remains unchanged. As you would expect, given the impact of the 53rd week in the fourth quarter, we anticipate that SG&A dollar growth in the second half will be higher than the annual 4% rate and the first half will finish at lower than this rate. Overall, we are pleased that the operational and promotional actions we took in the quarter drove improved sales trends. While these investments resulted in a slight decline in gross profit dollars, we continue to demonstrate solid expense management and delivered operating income and EPS within our expectations for the first quarter. Cash flow in the quarter was also very strong and continues to highlight one of the key strengths of our model. Operating cash flow for Q1 was $1.3 billion, up significantly from last year. As I discussed at length during last quarter's called, the biggest driver of the Q1 operating cash flow increase was the reversal of year-end timing differences in several key working capital items. We successfully lowered Q1 inventory levels and domestic comp store inventories finished down 4%. Receivable positions and payables also made good progress to returning to more normalized levels from where we finished fiscal 2011. Before we leave the quarter, I also wanted to provide an update on the progress we had made on several key value drivers in the business. Brian has already commented on the performance on the online channel, so I'll start with connections. We believe that connections are an important proxy for you to assess our progress in our Connected World strategy that we've discussed. Connections are clearly a very profitable part of that HACCS model that we are intent on growing. Our target for this year is to grow our total domestic connections from 8 million units last year to 10 million units. We have made good progress towards that goal, with domestic connections growth of up 20% for the first quarter. To add a little color to that number. Within mobile phones, we had higher growth of mobile phone postpaid connections, which drove strong mobile comp sales and importantly, mobile gross margin dollars. Connections within both mobile computing and TVs also increased significantly during the quarter. During our recent Analyst Day, we also talked about structural opportunities that would help us further improve our strong model. One of the key goals we have in this space is to reduce our "big box" square footage in the U.S. by 10% over the next 3 to 5 years. We've made good initial progress in our plans to achieve this goal and have started space reduction discussions with several landlords. We will keep you updated on this initiative as it progresses. That brings me to our outlook for the year. As we mentioned up front, we delivered our plan for the first quarter. With a vast majority of this year's sales and earnings still in front of us, we still anticipate delivering on our financial goals for the year. Based on what we can see so far, we expect full year revenue towards the higher end of the guided range of $51 billion to $52.5 billion. We also continue to expect annual operating income dollars of flat to growth of 7%. Additionally, we still anticipate delivering on our expectations for operating income dollars in the first half of FY '12 consistent with our original plans. Bringing it altogether, we are maintaining our annual non-GAAP EPS guidance of $3.30 to $3.55, excluding restructuring-related charges and the impact of FY '12 share repurchases. So to summarize, the year is off to a good start. We took actions to improve the sales trajectory of our business and delivered earnings in line with our plans. We're excited about the growth opportunities we continue to see in expanding technology and service offerings for customers and know that the combination of our physical and digital assets puts us in a unique position to compete and win. At the same time, we also know that the customer is stretched thin in the current environment. So we would be fluid and purposeful with our plans and follow them where they need us to go, and we will be competitive in the marketplace. And finally, we are leveraging our strong financial condition and taking actions to improve our returns by improving growth, capitalizing on structural opportunities and generating cash to both invest in the business and to return to shareholders. So with that, Alicia, we are ready for the callers' questions.
Operator: [Operator Instructions] Our first question is from the line of Alan Ruskin [ph] with Barclays Capital.
Unknown Analyst - : In light of the apparent success that you had in the promotional environment, can you maybe just provide a little bit of color on what the prognosis is for continued promotions throughout the course of the year in an effort to drive revenues? And then I have a follow-up.
James Muehlbauer: Alan, it's Jim. Certainly, as we set out to plan this year, we said we're going to follow the customer, where the customer wants to be based on the categories that they have the most interest in. And we knew we had more elasticity in the demand as we tightened up our promotional model across several key categories. We made specific emphasis in the quarter to focus on areas that we thought we could benefit from customer traffic early, especially in the Gaming, Appliance and Computing businesses. And we're very pleased, as Brian mentioned, that we saw progress in that space. So we anticipate that the year is going to continue to be competitive as it always is every year, and we're just excited that we have the opportunity to use some of the multichannel assets we have to continue to drive the top line growth in our business throughout the year. We'll see where the customer goes, but we're quite encouraged by what we've seen so far in that space.
Unknown Analyst - : Okay. If I could just ask a follow-up for Brian.
Brian Dunn: Sure, Alan.
Unknown Analyst - : So it’s certainly subject, relative to your internal expectations. Q1 beat those expectations in both the earnings and the comp line. But to be fair, in absolute terms, obviously, it's a difficult environment. Clearly, the economic environment in the last 6 or 8 weeks has kind of taken a downward turn across the board. Can you maybe just provide a little bit of color, Brian, on what the proclivity is for the board, to maybe in the wake of a difficult environment for the back half of the year? Can we expect a greater proclivity on ROIC and share buybacks and dividend increases in the back half of the year and less towards CapEx?
Brian Dunn: Alan, first -- on your first part of that question, I was very pleased with what we saw in the top line. We were on track for the year, so I'm pleased with that. As I think everyone knows, our plan contemplated a difficult environment for the customer. We've been very focused for the 2 years I've been in this chair and for the years before that on being disciplined with our capital allocation. You can regularly expect that focus and that discipline to continue. We've talked about what we have left under authorized for our share repurchases, and you will certainly see as us continue to leverage that as a tool. You can also expect that we will have a balance between -- in our capital portfolio between where we can invest with growth and where we can return money most efficiently to our shareholders. You should expect to see that continue
Operator: The next question is from the line of Mike Baker with Deutsche Bank
Michael Baker - Deutsche Bank AG: So I wanted to ask you just specifically on the Online business, where you are in terms of your ability to compete better with Amazon. I think you've talked about a lot of the SKUs that you've added, are those mostly in the TV to compete with Amazon? And what's going on in pricing online? And then I guess related to that, in the past you've shared some share data with us. Can you update on that as well?
Shari Ballard: This is Shari. From an online competitiveness perspective, Brian mentioned this. We have executed and we'll continue to on expanded assortment online. Into the question that came up earlier around promotions, that's another place that we invested in the quarter, in key categories online, categories like computing, DI, MP3 and our Portable Electronics business. And we were pleased with what we saw in terms of the customer response, and we're also pleased with what we saw in the latest share data in those categories for April. And you will continue to see us do that. We have not obviously fully closed all the competitive gaps that we want to close, but we're making good progress. And as Brian mentioned, May was much better than March from a performance of the online channel. And we'd expect that to continue.
Michael Baker - Deutsche Bank AG: And you think that's a function of some of the SKUs and maybe some of the pricing actions that you took in May?
Shari Ballard: I think it's a combination of definitely the expanded assortment. The way we're seeing customers respond to that, we know that for sure. We also believe the pricing actions helped. And to the question of how the channels play together, we also had a 700 basis point increase in in-store pickup in the month of April as well.
Operator: The next question is from the line of Anthony Chukumba with BBS (sic) [BB&T] Capital Markets.
Anthony Chukumba - BB&T Capital Markets: Just had a question on -- you mentioned the pickup in your Tablet business. And I guess, I was just wondering was that because: a, you got a higher allocation of the iPad 2 than you did the original iPad; b, you had increased sales of some of the non-iPad models. Obviously, there's been some proliferation over the last couple of months; or c, sort of a combination of the 2; or maybe even d, the start of the roll of Tablet Central. I guess if you could just provide a little color around that, I would appreciate it.
Michael Vitelli: This is a Mike Vitelli. To answer your question I think right now, it's the product that's coming in. We've been able to sell virtually everything that we're getting as this category continues to generate excitement. The impact of Tablet Central is still ahead of us to be realized as that's rolling out to all of our stores right now, in June. It will be in every store in July. And product introductions from other players in the tablet community are starting to come into the store in July and August.
Brian Dunn: This is Brian. I would just add to Mike's answer. Not only are they coming into the stores, online, we have and will have an increasingly dominant assortment of the very best, of the innovations that are coming from all the OEMs in the tablet space. And we believe that consumers will be very, very pleased with what they'll see there.
Michael Vitelli: And our suppliers are very excited about Tablet Central, about how it's played out having all those products together, eReaders in the area, all the accessories. It's something that's exciting to the entire vending community.
Operator: The next question is from the line of Matthew Fassler with Goldman Sachs.
Matthew Fassler - Goldman Sachs Group Inc.: My questions relate to gross margin. You give us a lot of color on your promotional stance for the quarter. You obviously entered the quarter with heavy inventory and that had really been the case for several quarters running. You had exited the quarter with inventory up essentially in line with sales, and it sounds like in the U.S. had somewhat better than that. Does that impact the stance that you intend to take on the promotional front for the rest of the year, given that there's less of an imperative to clear out the aged goods?
James Muehlbauer: Matt, it's Jim. I guess, on the first point, at inventory, I wouldn't suggest at all that we took any out of the ordinary course of business actions to lower inventory levels. As we've mentioned in the last couple of quarters, we are working those -- we were working those down in response to the slower sales trends we saw last year and actually did not see big margin degradation impacts on those. So our stance on inventory and promotion going forward is more in light of what we see in the environment and the competitive opportunities we have to grow our businesses with the customers. We're not reacting to trying to get specific inventory positions in line. We have enough philosophy in our model to manage that in the ordinary course.
Matthew Fassler - Goldman Sachs Group Inc.: Got it.
Brian Dunn: Matt, this is Brian, I just want to add one thing. You should expect to see us to continue to bring strong promotions to categories that matter to our customers. Best Buy has a long history of being there in exciting new product launches, exciting new technologies. And you should absolutely expect to see us with exciting promotions, as we launch things like Tablet Central.
Matthew Fassler - Goldman Sachs Group Inc.: That's helpful. If I could just follow-up on that. On the last conference call, I'm just reading from the transcript, you talked about expecting to grow gross margins in the current fiscal year at a slower rate than you did last year. You shaded your revenue guidance towards the high end and reiterated your expense guidance. So is there any color to give us and a gross margin relative to that initial statement that you gave us back in March?
James Muehlbauer: Yes, Matt. The only thing you didn't cover in your summary there was we also said the operating income performance from a dollar standpoint is still in line with original expectations. Sitting here at Q1, with so much of the business in front of us, and given the fact that we're focused, first and foremost, on driving gross margin dollars, we're going to have to see where the customer is at this year around what they want to buy in the business. So the good news is we've seen elasticity in categories like notebooks, in tablets. Early days yet but suggests that there might be a little bit more room in those spaces. You know how those play out in the gross margin rates overall, but the exciting part for us is that we get that traffic in the store. We get a chance to drive the HACCS model that we've shared with you. So I guess, it's early in the day to kind of predict where exactly gross margin rates are going to land. But we still feel very confident on delivering the gross margin dollars and our overall guidance. And we'll just see how that plays out with the customer mix in the balance of the year.
Operator: The next question is from the line of David Schick with Stifel, Nicolaus
David Schick: On the TV category, you gave detail about the results being in line with plan for the quarter or the decline in line with your plan for the quarter. Some others in the industry have talked about improved demand at the high end and what that could mean. Could you give us a point of view on both the supply and the demand and I guess how that leads to pricing point of view for now and sort of as the year plays out?
Michael Vitelli: Dave, this is a Mike Vitelli. We are in fact seeing increased demand in larger screen sizes. That was part of our plan for this year, was to focus on that area. The first quarter is a period of new products and resets, so it's still early in the year. But overall, we had modest expectations for this category that still are where we're looking at that to be. But we're pleased with what we saw in the first quarter as we achieve the plan.
Brian Dunn: David, this is Brian. I'd add just one thing. We're very pleased to with growth were seeing in our Magnolia space at the very high end of our mix and assortment. It's very consistent with what you've heard. We're quite pleased with how the consumers are responding to what's happening there.
Operator: The next question is from the line of Scot Ciccarelli with RBC Capital Markets.
Scot Ciccarelli - RBC Capital Markets, LLC: A little bit of strategic question, I guess. Given your current positioning in the industry, what can you do, if anything, to help build your portfolio of exclusive products and offerings to battle the Internet? In other words, being more price-competitive guys like Amazon is one thing. But I would think, if you had maybe more access to exclusive products or exclusive selling windows, that would be materially more powerful. So I'm just wondering if that's something we might see in the future, if there is any plans to try and increase that offering.
Brian Dunn: Scott, this is Brian. We are actually very proud of the lineup we have produced of exclusives from some of our OEM partners throughout the back half of last year, and into this year, and we're excited about what we queued up for this year. We're also quite pleased with what we have with our own exclusive brands and the growth there. And maybe, Mike, you'd like to opine on that.
Michael Vitelli: Yes. I would say that is one of the areas that we're very proud over the last several years of growing our exclusive brands in multiple categories, particularly in television where our Dynex and Insignia brands are a significant part of our unit growth in those categories. So we have exclusives from our suppliers, and we have exclusives from ourselves, both in hardware, and obviously the service offering that we have.
Scot Ciccarelli - RBC Capital Markets, LLC: And do you think you get fair credit for those exclusive offerings from consumers?
Michael Vitelli: I think we do. I think when you have a product -- we've seen in the Computing business, for several seasons now, where we get exclusive blue label products that we bring to the market that have unique features, and that's we're able to show to the consumer and demonstrate to the consumer. And that's the most -- we've seen that in multiple categories. But computing is a great example of it, and that's where we had unique growth. And the vendors are all pleased with it, too because these are products that have higher ASPs, higher margins for everybody and plays out well for both sides.
Brian Dunn: I think also to just add to Mike's answer our Best Buy Mobile value proposition, what we've done with the freestanding stores and store in a store, there's been a full range of exclusive product offerings that have been very, very successful. And we're really -- customer is very clear, from research we've done, on how important that is, and they give us full credit for that.
Operator: The next question is from the line of Gary Balter with Credit Suisse.
Gary Balter - Crédit Suisse AG: There's been some stories in the paper about leasing up some space in Texas and possibly closing or not growing anymore the big boxes in Europe. Could you refresh us on what you're doing in the real estate side of things and talk about what's going on in Texas?
James Muehlbauer: Gary, it's Jim. I'll talk a little bit about what we’re doing in the real estate side in the Domestic business and then, I'll let Brian just talk a little bit about what the plans are in Europe. As I mentioned in my prepared remarks. We are making good progress in some initial conversations with landlords around looking for opportunities to reduce "big box" square footage. And as we said during the Analyst Day, what we're most encouraged by so far is the opportunities we have to reduce square footage with our existing stores by shrinking the footprint. We have landlords that are very excited about that opportunity, and we have sub-tenants who are very interested to step in to those spaces and leverage off the traffic that we have coming to the Best Buy model overall. So we continue to be encouraged on our progress around the tactical things we can do in real estate in the Domestic portfolio. As we mentioned in the past, we have a large number of natural renewals that come up over the next 3 to 4 years that will be able to leverage as well. So those plans are progressing as anticipated at this point in time.
Brian Dunn: Gary, this is Brian. I would just add to Jim's answer. First on the real estate here in the States, we've already started that work. It's a small number. It's less than 50 stores we've touched so far. But that work is already underway, and were very pleased with what we’re seeing thus far. And as far as Europe goes, I saw the reports that were in the paper over the weekend in the U.K. obviously, and Gary as you well know and just to remind the other folks on the call, our strategy in Europe is multi-format, multi-brand, multichannel. We have 2,400 Small Box Carphone Warehouse Stores across Europe in partnership with our CPW joint venture. Last year, we've opened 6 'big box' stores in the U.K. We're really pleased with what we've seen in terms of consumers and their net promoter scores and sort of experience we're delivering. But that being said, we manage our business as a portfolio of brands and businesses. And all of them, over time, have earned their right to capital. And we don't have any imminent announcement about our business in the U.K. and you know that I don't comment on rumors.
Gary Balter - Crédit Suisse AG: Just on a different topic, social media. We went -- we know you think that we're shopkick, and we have been playing around with it in your stores. Can you talk about what you've done within some of those areas and how you see that progressing going forward?
Barry Judge: This is Barry Judge. Within social media, as with many big brands, we're very active on Facebook. We are active on Twitter with our 12-force value proposition, which tries to help people answer their question as it relates to technology. Your specific question around shopkick relates to opportunities within the mobile space. You've got multiple shopping apps that we're utilizing within gaming. You can buy and shop with our Best Buy Mobile app in-store. We are also, in marketing, looking at different ways of utilizing couponing. And you mentioned shopkick, we're an investor in the shopkick business, and we're seeing interesting results as it relates to getting consumers to buy as they’re driving by a store or ordering in the store or highlighting different promotions that are available to them. But it's still early to talk about what are the success of that at this point.
Brian Dunn: Gary, this is Brian, just to close up Barry's comments there. This is -- we're a multichannel player. You should expect us to be very, very aggressive in leveraging social media, anywhere the customers can connect with each other with the brand. And you will see us doing more and more in that space. But to Barry's point to be fair, it is early in terms of our efforts there. But it's not lost on us to trend on how important we think that's going to be in the future.
Operator: The next question is from the line of Daniel Binder with Jefferies & Company.
Daniel Binder - Jefferies & Company, Inc.: I was curious if you could comment on what the trend looked like through the quarter. I think you said on the online, it got better May versus March? Just curious how the stores performed through the quarter. And then secondly, as you tweak the labor model and have things like Tablet Central and dedicated resources in gaming and I think in appliances too, as you think about that investment over the course of the next 12 to 18 months, do you think that it's going to require a lot more training dollars and labor compensation model changes and things that would require more SG&A even into next year?
James Muehlbauer: Dan, it's is Jim Muehlbauer. I'll take the first part of the question, and I know Shari wants to jump in the second piece. We typically don't provide commentary on trends within the quarter. Brian specifically wanted to highlight the progress that we're making in the online space given the goals we laid out in our Analyst Day around doubling the size of that business. And as we were pulling those levers throughout the quarter, we actually saw customer behavior progress, which we thought was worth highlighting specifically on this call. But normally, we don't talk about the core trends within the quarter and quite honestly, looking in Q1 and Q2, it's not particularly informative to the meat of our earnings season in the back half of the year anyway. So with that...
Shari Ballard: It's Shari. A few comments. One, first in terms of the question around labor, we have already done work and will continue to do it around pulling out nonproductive, non customer-facing, tasking and operating tasks labor, and the team did a very good job of that at the very beginning of this year that we then turned around and reinvested into gaming categories specific labor. So we funded the gaming value proposition and dedicated labor by taking unproductive labor out of other places in the store. That's always the first choice, and we'll keep doing that. Secondarily, to your question about training, yes, we absolutely have to be better in what we're delivering to the customer and the level of knowledge, selling interaction and skills that we deliver in our stores. We've got a, I think, good legacy of being very good at that. And given who our competitors are today and given what the demands are of the customers, we have to be better. And to that, we put a significant investment in training across all of our stores, specifically focused on both the product knowledge side of it, as well as the selling skills side of it. And we're in process of doing that right now. And then thirdly, in terms of op model changes, we've talked before about some of the things we're testing in the Connected Stores, of which we now have about 30 plus stores operating with that operating model. And yes, we found that in particular in the spaces where there's more complexity for the consumers. Mobile is a good example that you already know about. Computing is another example of that, where we get the right level of dedicated labor to that, and we've got them in both a different compensation model that includes compensation around their overall productivity, as well as how their customers rate them, as well as their demonstrated level of knowledge. We like the early results we're seeing there. In fact, in our test stores, we now have the 2 tiers of different selling skills and selling roles in the store. And it's still early but we like what we’re seeing so far. So yes would be the answer to number 3. And as always, we just got to make sure that we get the return that we need on the changes. But there's no doubt there's opportunity there.
Operator: The next question is from the line of Dan Wewer with Raymond James.
Daniel Wewer - Raymond James & Associates, Inc.: So Brian, we have another quarter where your Online business achieves significantly better growth than bricks and mortar. Back at the Analyst Day, when I raised this question, you indicated that you're agnostic between growth and e-commerce between bricks and mortar. The key is growing the Best Buy brand. But how do we reconcile that with the fact that you are migrating a chunk of your market share to a business that has inherently lower margins and therefore, make it difficult to improve your overall operating margin in the long-run?
Brian Dunn: I recall the discussion in Analyst Day. We are -- we need to be where the customer needs us to be. And there is a segment of the customer that wants and needs to be fulfilled online. We are thrilled to be there. So I wouldn't say that we are actively migrating consumers to online. I believe consumers have migrated to online, and we're going to be there in a way in a space that allows them to fulfill the Best Buy in the way that best suits them. I also think, to Shari's comment earlier, the fact that our in-store pickup grew so materially in April, I think -- and May, is such an important indicator about what the consumer actually wants. And we know when we get consumers in the store to make an in-store pickup, it is a good -- not only good for the consumer, it's a good experience for our shareholders as well. So we're not overly concerned with the migration we're making from bricks to online. We believe that our strategy, again, is the winning formula, and that is leveraging online our Small Box stores, our "big box" stores, our call centers, all the customer touch points we have in the Web or on the customer.
Daniel Wewer - Raymond James & Associates, Inc.: Just a follow up on that. There's always a focus on Amazon as a competitor, but there are some other significant online competitors. I've seen recently that newegg.com is taking some very aggressive marketing against Best Buy. Has there come a point where Best Buy needs to consider opening a different, maybe call it a fighter brand on e-commerce to react to those type of competitors?
Brian Dunn: I appreciate the question. I think that Best Buy is a fighter brand. That is our history. We are a tough fighting brand, and we have risen up and won every fight we've been in. And there's not a doubt in my mind that, that will be the case as we roll forward over the next 40 years of our history. So no, I don't anticipate at this moment in time a fighter brand. And I also want to go back to the original part of your question about online and in-store pickup. Really, online really only contemplates the hardware sale and not what we do better than anybody in the world, we not only deliver hardware at a great price as well as anybody in the world, but we're able to offer the full suite of goods and services and accessories that completes the experience, that completes the sale for the customer in a way that's compelling. And I got to tell you, I just absolutely believe that, that is a winning formula for us.
Operator: The last question is from the line of Brian Nagel with Oppenheimer.
Brian Nagel - Oppenheimer & Co. Inc.: Couple of questions. First, I want to follow-up on some of the gross margin conversation, which I know we've talked about at length here. But just to be clear, it sounds -- you would sound like very tactical pricing decisions through the quarter that led to better sales. What I’m still not clear on that, and this is a question for Jim, to the extent if this stance continues through the year, I mean, how will that ultimately impact gross margins in the Domestic segment compared to what you were originally planning for.
James Muehlbauer: Brian, it's Jim. As I mentioned earlier, were going to have to see. I mean, clearly, we're focused on delivering our gross margin dollar goals for the year. As you know from our history, a lot of the margin rate that we see, especially within our Domestic business, is driven by the types of products that people want to buy. So last year, it was softer in the computing space overall as tablets took off. We saw mix favorability last year. Two years ago we saw strong notebook sales with the release of things like Windows 7. We saw very high notebook sales, which impacted our mix negatively. So as we look and pull apart where does the customer want to go, how do we balance our promotion to drive both top line, to get those customers in stores so that we can sell them that suite of services in our HACCS model that really differentiates us not only for customers but also for shareholders. We're going to be there on price with them in the categories they want us to be in. So sitting here, as you look at the results in Q1, we certainly don't expect that our margin rates are going to continue in the same space that we've seen in Q1. But it's just too early in the year to know exactly where it's going to be. We're focused on delivering margin dollars, and we're going to grow them through the year. And our plan is to grow operating income in the range we provided of 0% to 7%, and we'll see where the customer needs us to be.
Brian Nagel - Oppenheimer & Co. Inc.: Just one follow-up on a separate topic, on the buybacks. So you bought back -- it was over $500 million of stock in the first quarter. At the Analyst Day, you talked about a $1.3 billion through the year, so you're tracking ahead of that. How should we think about it? Did you buy back stock more aggressively in Q1 or should we think about it being more front-end loaded through the year?
James Muehlbauer: The way you should think about it, is what we said in the past. We intend to fully utilize our existing authorization of $1.3 billion for the year. The timing of that is going to depend on market conditions, and we'll see how that plays out. What we're -- I think the higher headline really is the strength of the Best Buy model allows us the flexibility to invest in places that we know we will get benefit for the customer. That are profitable for our shareholders like the expansion of our Small Box stores and Best Buy Mobile. The resets that we're doing for used gaming and what we’re doing in the Tablet Central space, having the ability to do that as a company, while also increasing returns to shareholders by buying back shares in a more consistent basis over the long term. We think is a great formula to improve return on invested capital, which we're committed on doing as a management team.
Bill Seymour: Thank you, Brian. Thank you, Alicia, and thanks to our audience for participating in our first quarter earnings conference call. As a reminder a replay will be available in the U.S. by dialing (800) 406-7325 or (303) 590-3030 internationally. The PIN is 4446363. The replay will be available from 11:30 a.m. Central time today through June 21. You can also hear the replay on our IR website. Thank you for your attention, and this concludes our call.
Operator: Ladies and gentlemen, this does conclude the conference. Thank you for using ACT Conferencing.